Operator: Good day and welcome to the Sol Strategies Inc. Fiscal Year End September 30, 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] On the call is Leah Wald, Chief Executive Officer; Doug Harris, Chief Financial Officer; and Moe Adham, Chief Investment Officer. I would like to take a moment to direct investors to the Investor Relations section of the company’s website at solstrategies.io, where we have posted our investor presentation. Before we get started, I want to remind everyone that certain statements discussed on this call are based on information as of today, January 28, 2025 and contain forward-looking statements which are subject to risks and uncertainties and given our operating history, market volatility and industry growth. Trends could materially deviate from today’s level. Actual results could differ materially from our forward-looking statements. The comments made during this conference call were in the latest reports and SEDAR+ filings, each of which can be found on our website, www.solstrategies.io or under our profile at www.sedarplus.ca. The company has made assumptions that no significant events occur outside the company’s normal course of the business and the current trends and respective digital assets continue. Listeners are cautioned that the metrics of Sol’s business fluctuate and may increase and decrease from time to time and such fluctuations are beyond the company’s control. The company does not undertake any duty to update any forward-looking statements except where required by law. The company also wants to caution listeners that the past performance is not indicative of future performance and current trends in the business and demand for digital assets may not continue and listeners should not put undue reliance on past performance and current trends. This call will touch on certain audited performance metrics of the business to the month ended September 30, 2024 provided in the earnings press release issued today. And I want to encourage each of you to review the forward-looking statements, risk factor disclosure and similar disclosures in today’s press release. After the speaker’s prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] With that, let me turn the call over to Leah Wald, Sol Strategies’ CEO.
Leah Wald: Thank you, operator. I’m excited to host Sol Strategies’ first ever earnings call. We plan to hold these quarterly, fostering consistent engagement with our investor community. Today, I’ll review Sol Strategies’ positioning within the growing digital asset industry, highlights from the September quarter and updates to our strategic plan. Unless stated otherwise, all dollar amounts are in Canadian dollars. Following my remarks, Doug will present the financial highlights, Moe will discuss our investment and operational initiatives, and then we’ll open the floor to your questions. When I became CEO in July of last year, 2024, I set out to transform Sol Strategies into a leading vehicle for investors seeking exposure to digital assets through public markets. With the recent regulatory approvals of Bitcoin financial products, our industry has made significant progress in broadening blockchain adoption among traditional investors. Recognizing this momentum, we conducted a comprehensive review of the company’s strategy, pivoting from a traditional NAV-based Bitcoin holding company to a technology-driven enterprise, focused on Solana’s high-performance blockchain, and this evolution led us to rebrand as Sol Strategies, Inc. Our transformation marks a defining chapter in the company’s history. Since initiating the strategic pivot, we’ve achieved exceptional growth across key operational metrics. As of September 30, 2024, Sol Strategies operated One Solana validator with approximately 101,000 SOL delegated to it, valued at $20.9 million. By January 25, 2025, that number had surged to approximately 1.7 million SOL, valued at $634 million, representing a 1,612% increase in staked SOL. Our validator operations now generate annualized staking revenues of $9.9 million, up 2,887% over the same period. These results underscore the scalability and efficiency of our validator network and highlight our role as a critical infrastructure provider within the Solana ecosystem. To execute this transformation, we have advanced on four key pillars: one, validator expansion and operational growth. We have systematically acquired and optimized high-performance validators, scaling from 1 to 3 fully operational validators. These validators supporting 1.7 million SOL are designated for scalability, high availability and competitive yields. They provide reliable, high-margin revenue streams and strengthen Sol Strategies’ positioning – position as a leading infrastructure provider within the Solana ecosystem. Two, proprietary technology and innovation. Our proprietary solutions define Sol Strategies as a technology-first company. These include real-time yield calculators, seamless wallet-to-validator integrations and a retail-friendly non-custodial staking app that we launched through the Orangefin acquisition. This app simplifies staking for self-custodial users and is poised to expand accessibility as it rolls out on Apple and Google platforms this year. Three, strong financial position. With approximately $72 million in liquidity and a recently secured $25 million revolving credit facility and $30 million in capital led by ParaFi Capital, we are well capitalized to pursue strategic opportunities. These resources allow us to scale validator operations, systematically acquire and stake SOL for reoccurring revenue, and invest in technology development. This financial strength ensures sustainable growth as Solana’s network continues to expand. Four, commitment to compliance and security. We adhere to rigorous regulatory standards and have implemented ISO 27001 certified security frameworks to protect our infrastructure, validator operations and user data. This commitment to transparency and trust positions us as a reliable partner for institutional and retail investors alike. In addition to these core pillars, we have achieved significant capital market milestones. On January 1, 2025, Sol Strategies upgraded to an OTCQX listing, enhancing U.S. trading volumes and liquidity. The broader market dynamics are highly favorable. We believe the Solana network continues to lead as a high-performance blockchain with unmatched scalability and transformative potential across industries such as payment, DeFi and asset tokenization, a market projected to reach $16 trillion by 2030. As the first and largest publicly traded company focused exclusively on Solana, Sol Strategies bridges traditional finance with blockchain innovation, we believe that our scalable and compliant exposure to Solana offers investors a unique opportunity to participate in this ecosystem’s transformative growth. With that, I’ll now hand it over to Doug for the financial highlights. Thank you.
Doug Harris: Thank you, Leah. I am pleased to present Sol Strategies’ financial results for the year ended September 30, 2024. While these results are excellent, I want to emphasize that they do not fully reflect the transformative changes initiated under Leah’s leadership as CEO. These changes, which continue to unfold, are expected to have a profound impact on the company’s financial performance in fiscal 2025 and beyond. Please note that we may refer to the year ended September 30, 2024 as fiscal 2024 and the year ended September 30, 2023 as fiscal 2023 or the prior year. Total comprehensive income for the year ended September 30, 2024 was approximately $9.4 million, an increase of about $15.8 million from the total comprehensive loss of approximately $6.5 million for the year ended September 30, 2023. The main reasons for the increase in total comprehensive income are as follows: total investment income increased approximately $15.2 million to $10.7 million in fiscal 2024 compared to a loss of approximately $4.5 million in the prior year. The increase in investment income is mainly due to a realized gain on dispositions of cryptocurrencies of approximately $7.7 million in fiscal 2024 compared to nil in the prior year, a realized gain on investments of $1.2 million in fiscal 2024 compared to a realized loss of approximately $1.2 million in the prior year. That’s due to a realized gain on Animoca Brands of approximately $1.8 million. This is offset by a realized loss of $770,000 due to a write-off of zkSNACKS to nil. In fiscal 2023, the company realized investment losses of approximately $500,000 and $700,000 on its Isla Capital and Lucy Labs investments, respectively. Sol Strategies had an unrealized gain on investments of approximately $1.1 million in fiscal 2024, an increase of about $5.1 million from a $4.1 million unrealized loss in fiscal 2023. The fiscal 2024 unrealized gain was mainly due to a recovery of approximately $830,000 on Lucy Labs. In fiscal 2023, the unrealized loss of $4.1 million was mainly due to an unrealized loss on Animoca of $4.3 million. Staking and validating income was approximately $270,000 in fiscal 2024 compared to nil in fiscal 2023. Staking and validating income reflects less than 2 months of operations of one startup validating node and rewards earned on the company’s Solana staked to that node. These results are not indicative of staking and validating revenue the company is expecting in fiscal 2025. Operating expenses in 2024 were $2.5 million compared to $1.8 million in the prior year. The increase of approximately $670,000 in operating expenses, were mainly due to stock-based compensation in fiscal 2024 of $1.32 million, an increase of $890,000 from fiscal 2023’s expense of $431,000, general and administrative expenses in fiscal 2024 of $344,000 compared to $198,000 in the prior year, an increase of about $146,000, and foreign exchange gain in fiscal 2024 of $51,000, while 2023 had a loss of $350,000, a decrease of about $401,000. Income tax expenses in fiscal 2024 were $1.6 million. While in fiscal 2023, there was an income tax recovery of $27,000. The increase was mainly due to realized gains on the disposition of cryptocurrencies. In fiscal 2024, the other comprehensive income was $2.7 million, while in 2023 there was a loss of $197,000, an increase of almost $2.9 million, mainly due to the unrealized gain on cryptocurrencies. At the end of fiscal 2024, the company had $1.8 million of cash, 100,763 SOL, 56.25 Bitcoin that had a combined value of $25.6 million and $1.5 million of investments with total assets of $28.9 million and a net book value of $26.7 million. This is a significant increase from fiscal 2023 when the company had cash of $1.9 million, 215.37 Bitcoin with a value of $7.9 million, investments with a fair value of $6.5 million and total assets of $17.1 million that led to a net book value of $16.8 million. The significant increase in net book value from the prior year is mainly due to the increase in value of cryptocurrency investments of $17.7 million, offset by a decrease in investments of approximately $5 million. Our Chief Information Officer, Moe Adham, will be discussing the staking and validating strategy, but I want to reiterate that the company believes that its staking and validating revenue will significantly increase for the year ended September 30, 2025, as it will reflect the Cogent and Orangefin acquisitions that closed on November 24, 2024 and December 31, 2024, respectively. Management believes that staking and validating revenue will continue to grow as more third-party Solana holders delegate their SOL to our validator nodes, generating income paid in Solana to the company, which we intend to reinvest in staking. As a result, we believe that the staking and validating income will surpass operating expenses that the company may incur to operate the business, demonstrating the scalability of our model. And with that, I will turn the call over to Moe to discuss our staking and validation strategies.
Moe Adham: Thank you, Doug. I’d like to begin by briefly explaining what Solana staking and validation actually are and why these concepts are so crucial to our growth strategy at Sol Strategies. Solana staking refers to an individual or institution participating in the governance of the Solana network, effectively helping to keep the system honest by verifying transactions. When you stake SOL, you delegate your tokens to a validator, someone who runs specialized hardware that processes and confirms these transactions on your behalf. In return, you’re entitled to what are known as inflation rewards, which currently yields between 7% and 9% annually. A validator itself is essentially a high-powered secure computer operating in a data center. Sol Strategies has developed a new business line focused on running these validators, and we believe it offers a high-margin opportunity that stands in stark contrast to the economics of Bitcoin mining. Unlike Bitcoin mining, which demands significant capital outlays for specialized equipment and large amounts of electricity, Solana validation has minimal incremental costs. Whether we validate 1 million SOL or 10 million SOL, our operational expenses remain relatively stable. This means that our gross margins can scale upward as we acquire more validators and as more delegated SOL flows into those validators. To expand our competitive edge, we believe Sol Strategies is emerging as a professional institutional-grade player in a space that has largely been populated by smaller firms and hobbyists. We bring rigorous operational excellence, comprehensive reporting and a high level of trust that we expect will resonate with institutions, ETFs, ETPs and other regulated entities. As these players enter the Solana ecosystem, we aim to be their preferred partner for validation services. Now, let me address how validators actually make money. First, there are inflation rewards, which I mentioned are distributed to those who stake or delegate their SOL. Validators can also participate in these inflation rewards. Second, there are MEV rewards, short for miner extractable value. Both inflation rewards and MEV rewards are shared with delegates, but a third revenue stream, block rewards, is different. Validators earn 100% of the block rewards from transaction fees included in each new Solana block, and these are not shared with delegators. This is the reason why validating is more profitable than simply delegating your tokens. I also want to note that the Solana blockchain is fully transparent. So, our validator operations can be monitored by anyone in real time. We’ve already seen dashboards built by analysts that track our validation performance on an ongoing basis. We have linked to one in our presentation, which you can see on Slide 12. In January, block rewards were 69% of revenue, MEV rewards were 28% of revenue, and inflation rewards just 3%. Looking ahead, there is an important network upgrade on the horizon known as SIMD-0096. At present, a block is generated by a validator and half of the block fees are removed from circulation, while the remainder goes to the validator. After SIMD-0096 is implemented, validators will receive the full amount of these fees. This change will enhance our gross margins even further. From the public data in January, where block rewards were 69% of our revenue, a doubling of this income stream will be very meaningful. If this change had been in place from the start of January so far, it would have resulted in an additional 1,450 SOL of revenue. We believe this comes at a perfect time for Solana as decentralized finance continues to evolve. In our view, DeFi is shaping up to be a winner-take-all scenario, where traders flock to the most liquid and efficient platforms. Ethereum, though the current market leader in many respects, faces significant technical constraints that have necessitated the creation of multiple Layer 2 networks. This fracturing forces traders to bridge assets across disparate chains, each with fractional liquidity. It increases complexity and execution risk with lower trading volumes. By contrast, Solana design has built from the ground up to handle high-speed, low-cost transactions at scale, making it uniquely well positioned for high-throughput trading environments. The real-world proof is in the recent trading volumes. We’ve seen a surge of activity on the Solana-based decentralized exchanges, in some cases, surpassing volumes on well-known centralized exchanges. As further validation, high-profile digital asset launchers are increasingly turning to Solana instead of Ethereum. There was even a situation where a token launched by a high-profile political figure, the President of the United States, who chose Solana. The reason is simple. Solana is the winner. I’ll now turn it back to – the call back to Leah. Thank you so much.
Leah Wald: Thank you, Moe for detailing our validation strategy and outlining why it is core to our growth in the Solana ecosystem. Our progress to-date reflects a combination of strategic vision, operational excellence and an unwavering focus on delivering value as confidence in digital asset continues to grow, driven by rising SOL prices and a favorable regulatory sentiment. Sol Strategies is well positioned to capitalize on these opportunities by advancing innovation, scaling our validator business, and building institutional grade solutions, we are leading the way in creating a sustainable, high growth platform within the Solana ecosystem. Thank you all for joining us today. Operator, please open the line for questions.
Operator: [Operator Instructions] We will go to Kevin Dede with H C Wainwright.
Kevin Dede: Thank you. Hi Leah. Thanks for hosting the call. It’s good to hear from you and congrats on the progress that you are making there.
Leah Wald: Kevin, thank you so much. Appreciate it a lot.
Kevin Dede: Okay. I know you delved into the strategy going forward. I was just curious if that includes more validator nodes and maybe other activities within the Solana ecosystem?
Leah Wald: Yes, absolutely. I think that’s a great question. And again, given we are now positioning ourselves as a technology first company, that’s crucial and core to our strategy for both. One, inorganic growth and continuing on this path that we have already started with two acquisitions completing – that were completed last year. So, we are actively looking for other entities and validators that we can acquire in order to pursue that inorganic growth. On the organic growth side, we also are speaking to issuers, to institutions, as well as generally, large bag holders of SOL in order to increase the stake on our validators as well. A third component, and then I may turn it to Moe, who is overseeing the staking at the moment and the tech builds is that we are continually building technology under the hood as well, and we see that as core to our strategy. So, we have already launched, as mentioned, a staking application. This is a Solana staking application, and really first of its kind of what’s been built. Much will be rolled out soon. It’s in the Solana dApp Store but to be rolled out in iOS and Google later this year, but also built internal dashboards. Everyone on this phone understands the importance of upgrading reporting for registered investment advisors or investment advisors for Canadian investable public, and that that has still provides huge opportunity compliance, reporting and auditing of DeFi markets. So, we want to be on the front lines of one, utilizing the best technologies out there for all three of those systems, for our validators, for any apps that we roll out, and for our internal use, as well as building those technologies, because we believe that that will go hand-in-hand with us being able to see greater organic growth as well.
Kevin Dede: So, does that imply, Leah, that you may build your own validator nodes? I mean my understanding is that you would only need roughly 100 Solana to stake each node. Would you – would it not serve you, or I mean how should we look at that? Would you consider a greater number of nodes, or just more Solana per node to generate the greater return?
Leah Wald: Go ahead Moe.
Moe Adham: Yes. So, I don’t think that you should count the number of nodes as a very important metric. It’s really the aggregate SOL delegated to those nodes. And the only reason you would really set up more than one would be to change the economics of them. And so for certain situations, you may want to run a validator node with a higher commission on the inflation, whereas in other situations, you may want to run it with lower to be competitive in different markets. And so we do run a validator node of our own that we did not acquire, that currently has similar upwards of 300,000 SOL delegated to it. Largely our SOL and something the Solana foundation through a stake matching program that they run, but I think that the specific individual number of nodes isn’t as relevant as the total aggregate delegated. And so when you see us acquire, you will see that we are typically acquiring validators with larger stakes and economics that we are specifically interested in for the market reason.
Kevin Dede: Well, Moe, one more question, if I may please. How, I mean would you – can we expect you to develop software that might help manage the mempool and command more transactions with higher SOL gas fees in them in order to increase your return.
Moe Adham: I don’t know if I can specifically say exactly what technology we are going to build, but we are very well aware of those types of technologies, and sometimes refer to as stake weighted quality of service, and it’s definitely on our radar. So, we are very well aware of those technologies.
Kevin Dede: Okay. Here is a part b, I guess if that’s the case, wouldn’t it make more sense to have more validator nodes.
Moe Adham: Essentially, it’s not so straightforward. It wouldn’t make sense to say it, watch 1000 validator nodes with only 100 SOL each. The way that the Solano network runs, there is actually a scheduling of validator nodes based on how much SOL is delegated to each one. And so if you run a very low stake node, you won’t actually get scheduled, which is why, not just every hobbyist can go and run their own validator node. You actually need quite substantial assets to even be scheduled into the Solana network scheduling. So, I guess the short answer is we will have – we have the current number of nodes, we will likely have more. But it’s not like a number where we are trying to reach 1000 validator nodes or something like that. There is a strategy to it.
Kevin Dede: Understood. Thank you, Moe. I really appreciate the explanation, and thankfully for entertaining my questions. Congratulations again.
Leah Wald: Thank you, Kevin, always great to hear from you.
Operator: [Operator Instructions] We will go next to Dennis Cinelli. Please go ahead.
Dennis Cinelli: Hi. Yes. It’s Dennis Cinelli, I have been a shareholder now for 3-plus years. So, thank you to the crew there. You guys have done an absolutely fantastic job. And it shows in the stock prices compared to what I paid for it back when it was like $0.20. Question…
Leah Wald: That is great to hear.
Dennis Cinelli: Yes, it’s exciting for sure. Now, near the end of the bull run at the end of, say, 2025, to prepare for the crypto winter cycle, would you consider converting any Solana to BTC or be – maybe sell some Solana into cash or stable-coins and hold as a reserve until the beginning of 2027 when things typically take off again?
Leah Wald: I will jump in on this question. I think that what you are talking about is excellent. You have obviously been in the ecosystem for a while, and we do see very cyclical bulls and bears when it comes to cryptocurrencies. To answer your question, as of right now, we are a Solana-focused company. So, we have solidified and rebalanced our main holdings as was seen in the MD&A from Bitcoin to Sol. We do have strong risk management and an investment committee at Sol Strategies. So, if the day comes that we see a bear market coming, we will adjust and make decisions accordingly, and we will be obviously monitoring our risk during that time and downsizing if needed. But as of right now, especially in this environment and especially with the current strategy at hand, we are staying as fully allocated as we can in a prudent manner to SOL and believe that we will continue to do so.
Dennis Cinelli: Right. Okay. At some point, would you consider expanding to another coin such as SUI?
Leah Wald: We did acquire a SUI validator during the Cogent acquisition. However, for a focus, we are still highly focused and acutely focused on the Solana ecosystem at the moment. In regards to reoccurring revenue and additional revenue in the background that does not strain our staking platform, we are always looking for opportunities. However, we are highly focused, again, on Solana. Although I do think that, that brings up a very interesting point is the scalability of a staking platform. It is, as mentioned and as you can see in the financials, extremely high margin and extremely scalable. You can effectively run validators with $10 million or $100 million of assets or many more with similar costs. So, as long as our staking platform continues to grow, I think that we will always assess opportunities at hand, yet obviously, our focus remains on the Solana ecosystem. That’s a great question. Thank you.
Dennis Cinelli: Cool. And lastly, in regards to future stock price, and of course, this is very approximate, just so I have an idea, if Solana hit US$500, is there a formula, is there some way an idea of where HODL stock price would be at that corresponding price?
Leah Wald: Obviously, I can’t speak to forward predictions, but I will say if it hits $500, I think all of us are definitely buying beach houses all around the world. I think that, that will be an exciting day for sure. But obviously, I can’t speak to forward-looking or future predictions.
Dennis Cinelli: So, unlike with an – like, it’s – I have got BTC and Ethereum ETFs on the Toronto Exchange. So, obviously, when Bitcoin price goes up, it goes up accordingly percentage-wise. Is this sort of true with HODL? Is there – like for every dollar it goes up, will the stock price go up by a certain percentage?
Leah Wald: So, I think what you are – so again, I can’t speak to that. But what I can say is, I think that your underlying question is an excellent question. And I would be happy to speak to what I believe may be a possibility when the SOL ETFs are approved when they are approved. As everybody here is aware, we have a pro-crypto regulatory environment here in the United States with the new administration change, with again, the expectation that Atkins will be approved as Chair with Hester Peirce right now overseeing the task force, as well as Uyeda as acting. You are seeing a lot of reforms. You are also seeing a lot of filings. I am sure Dede is following this. Thank you again, Kevin, for the earlier question. You are seeing not only spot, you are seeing futures filings, you are seeing leveraged filings and you are seeing spots from multiple issuers that have a lot of experience. If anyone here is aware on this call, I co-founded and ran a firm called Valkyrie Investment. We also launched some of the first crypto ETFs in the United States. So, I am following this intimately and also know the process intimately. I know the fact that as they get closer, that goes hand-in-hand with education of the staff. That goes hand-in-hand with collaborating with the SEC staff and – as well as, obviously, there are filings in Canada with the OSC as well. But the importance of collaborating with the staff is that everybody starts working together, they become more educated. What happens after that is there is a differentiation that can take place between the different alternative currencies and what filings and what ETFs should be approved and in what order, as well as the structure. And I think that’s important. Right now, you have a cash creation system in the United States. However, there was a proposal a couple of days ago by BlackRock in order to create an in-kind creation process. That is important for the ecosystem as well. Now, what is important about these ETF filings and why we are speaking to the issuers for potential partnerships, as well as generally following and trying to assist from a thought leadership perspective, is that there has been a historical accretive nature for how Bitcoin miners, publicly traded Bitcoin miners have seen stock appreciation when crypto ETFs were approved. Now, most analysts previously thought that it would be a cannibalization of AUM flowing into Bitcoin miners or Bitcoin mining ETFs. Another fund that we ran at Valkyrie was a Bitcoin miner ETF, so something I followed very closely. However, that was not the case. Even in 2023, the mining ETF SOL was the best-performing non-leveraged ETF in the United States. And across the board, the good miners – the miners that were performing well such as Marathon and CleanSpark also saw immense AUM. That’s interesting because ETFs from a futures perspective were also approved. You had cap weighted for Bitcoin ETF [ph] blends. You had leveraged and you had an inverse. So, you would expect that those flows wouldn’t go into the miners. Now, why am I saying that, because we are building staking infrastructure. So, we see ourselves as a picks and shovels company as well. So, we look forward to those SOL ETFs getting approved because we believe that that’s more of a partnership rather than any cannibalization that would happen. So, we are working with them to ensure that, that happens when the time comes. But we do believe that this is a more favorable regulatory environment, both in the United States and the OSC may be working with the SEC in order to come to a common understanding of what type of ETFs and what is their structure, whether it’s thought, futures, staked, etcetera. But either way, it’s a very exciting year. And we believe that SOL ETFs would be a positive force for every participant in the Solana ecosystem, although, of course, future will tell. I have no idea what future holds, but that is one of the biggest reasons why we are an infrastructure technology player in order to work with the ecosystem as a partner.
Dennis Cinelli: Well, Leah, you are very informative. So, I can see we are in very good hands.
Leah Wald: I appreciate it. Well, it’s great to hear that you have been with us for so long.
Operator: [Operator Instructions] And with no other questions holding, I will turn the call back over to our presenters for any additional or closing remarks.
Leah Wald: I will close with the fact that, again, this was our first earnings as well as my first earnings call as a new CEO of a publicly traded company. I am intimately familiar with the public markets here in the United States. As everybody here on this call is aware, we have also filed an application with Nasdaq and do plan on pursuing an aggressive cap market strategy here in the United States. However, I am new to Canada, and I am very grateful for everybody on this call tuning in as well as helping provide insights, guidance as well as thoughts to our team. We have received a lot of e-mails over the past months with everybody’s thoughts, and we welcome that. So, as we hopefully continue to grow, continue to execute on all our plans, as well as expand the team with some strategic hires that have recently joined us and we believe will be a very powerful force in the company. We are, again, very grateful that you are tuning in, that you are paying attention, that whether you write good things or bad things or have questions, comments or concerns, we open all of that – we are open to all of that. Our phone is always available. Our e-mails are always open. And we are excited you are part of this journey with us.
Operator: Thank you, Ms. Wald. This does conclude today’s program. We thank you for your participation. You may disconnect at any time.